Operator: Ladies and gentlemen, thank you for standing by and welcome to the GlobalFoundries' Review of Fourth Quarter 2021 and Full Year Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]  I would now like to turn the conference over to your speaker for today Sukhi Nagesh, Vice President of Corporate Development and Investor Relations. You may begin.
Sukhi Nagesh: Thank you operator and good afternoon everyone and welcome to GlobalFoundries' fourth quarter and full year 2021 earnings call. On the call with me today are Tom Caulfield, CEO; and Dave Reeder, CFO. A short while ago, we released GF's fourth quarter and full year 2021 financial results press release, which is available on our website at investors.gf.com along with today's accompanying slide presentation. This call is being recorded and a replay will be made available on our Investor Relations' web page. During this call, we will present both IFRS and adjusted non-IFRS financial measures. The most directly comparable IFRS measures and reconciliations for adjusted non-IFRS measures are available in today's press release and accompanying slides. Certain statements on today's call may be deemed to be forward-looking statements. Such statements can be identified by terms such as believe, expect, intend, anticipate, and may. You should not place undue reliance on forward-looking statements. Actual results may differ materially from these forward-looking statements and we undertake no obligation to update any forward-looking statements we make today. For more information about factors that may cause actual results to differ materially from forward-looking statements please refer to the press release we issued today as well as risks and uncertainties described in our SEC filings including the sections under the caption Risk Factors in our final prospectus filed with the SEC on October 29th, 2021 in connection with our IPO. We will begin today's call with Tom providing a summary update on our end markets, capacity expansion, and technologies. Following which Dave will provide details on our fourth quarter and full year financial results and also provide first quarter guidance. We will then open the call for questions. We request that you please limit your questions to one with one follow-up. I will now turn the call over to Tom for his prepared remarks.
Tom Caulfield: Thank you, Sukhi. Welcome everyone to our fourth quarter and full year 2021 earnings call. I'd like to start by reflecting on last year. By any measure, 2021 was an outstanding year for GF. We drove an acceleration of our business plan by capitalizing on the vital role we play in the semiconductor supply chain. We created, defined, and implemented a new economic model for our industry and we used it to increase visibility and support our customer success with over 30 significant long-term agreements. With the entire world focused on our industry, we played and continue to play an important role by articulating the importance of semiconductor manufacturing and redefining innovation for our industry. Finally, we took GF public which was a culmination of over a decade of work to build an at-scale global semiconductor manufacturer with strong technological differentiation and driving meaningful earnings growth. Through strategic partnerships with our customers, we believe we have positioned our business for sustained growth over the next three to four years with the trajectory to deliver accelerated profitability. We are well-positioned to execute on our plan to deliver a more than 50% output increase exiting 2023 compared to 2020 by adding capacity in Malta, New York; Dresden, Germany; and in Singapore. We are continuing to execute on our plan to mix up our 200-millimeter facilities in Burlington and Singapore with differentiated single-source SOI, SiGe, and feature-rich CMOS technologies. We expect that all of this combined will result in consistent execution from GF that will enable us to achieve our long-term sustainable financial model. That is investing 20% of revenue on CapEx to deliver consistent growth while generating strong free cash flow and as a result delivering meaningful shareholder value. Now, moving on to our fourth quarter. We are pleased to report a quarter of strong topline and profitability growth, demonstrating the continued momentum of our strategy. Fourth quarter revenue grew 9% quarter-on-quarter driven by higher wafer output, higher ASPs and increased non-wafer revenue. Fourth quarter adjusted earnings per share came in at $0.18. Now Dave will provide more details on the financials in just a moment, but first let me give a summary of the fourth quarter revenue by our end markets. First, in our smart mobile device end market, which comprised about 48% of fourth quarter revenue, we achieved strong year-over-year quarterly growth of roughly 24%. Growth was driven by a combination of higher ASPs, better mix and higher shipments as we started to ramp customer designs in new applications. For the full year, our smart mobile device end market grew roughly 38% over 2020. GF's growth in this end market outpaced smartphone industry growth due to our industry-leading solutions and new connectivity standards such as sub-6 GHz 5G and WiFi 6 and 6E. These new standards are driving the need for GF's high-performance RF SOI technologies. In addition, in 2021, GF entered the large and growing WiFi 6, 6E SoC and cellular transceiver markets with long-term customer agreements that will expand our market share significantly. We are also seeing strong traction in areas such as near-field communication display and image sensing. One example is the increased attach rates for NFC authentication in Android smartphones. Other examples include specialty power applications that prolong battery life of 5G handsets and image sensing processors which power image sensors and cameras. The market for these processors is expected to grow over 25% in 2022. Lastly, our long-term agreements covering the smart mobile device end market with our key customers are providing us with long-term visibility for secular growth over the next few years. Next our communications infrastructure and data center end market which constituted approximately 16% of fourth quarter revenue saw sequential growth in the quarter of 7% due to customer share gains in the data center end market. Over the course of 2021, we secured a multiyear long-term agreement with a Tier-1 wireless infrastructure customer for our advanced SiGe technology and a multiyear LTA with a Tier 1 enterprise networking customer. In addition, we established ourselves as the industry leader in silicon photonics. Our monolithic and hybrid solution garnered over $500 million in new design wins in the year. And silicon photonics revenue almost tripled in 2021 and we expect it to more than double again in 2022. We expect continued growth in communications infrastructure and data center, this end market throughout the year and anticipate double-digit year-over-year growth in 2022 driven by strong demand for 5G infrastructure and optical devices. Moving on to our home and industrial IoT end market. Fourth quarter revenue was roughly 14% of the total and grew approximately 20% year-over-year. We saw strong sequential growth in this end market fueled by the transition from WiFi 5 to WiFi 6 for wireless connectivity and IoT applications and an increase in contactless transactions. We are seeing strong growth demand for wireless connectivity for consumer, industrial asset tracking and audio products, which are backed by multiyear LTAs that we have signed with leading customers. We expect this end market to be our fastest-growing market this year, driven by our strong portfolio of differentiated wireless connectivity, edge compute and power management technologies. Touching next on automotive. Revenue in this end market was approximately 5% of our total fourth quarter revenue, but it more than doubled from a year ago. The strong year-over-year revenue growth was driven by a ramp of new designs for ADAS, safety applications and infotainment that have been in development and qualification over the past few years. Adjusting for a sizable capacity access fee in the third quarter, automotive quarterly sequential growth would have been roughly 13%. 2021 also marked key partnership announcements with Ford, BMW and Bosch. We are very excited about our strong traction in the automotive end market and anticipate double-digit growth for this market in 2022. We have a number of customers in the 4D radar space and in battery management for EVs that will begin to ramp in 2023, fueling our growth beyond traditional auto applications into new automotive growth applications. In our compute end market, revenue was roughly 6% of total and declined year-over-year as expected. As we have mentioned previously, the PC market we serve – we served in the past will continue to decline as our customers transition their products to single-digit nanometer. We continue to forecast year-over-year decline in this end market in 2022. However, we have been focusing our investments on solutions that play to our strength in mixed signal and power that complement and work side-by-side with the single-digit nanometer processor designs. For instance, we secured a multiyear LTA with a Tier 1 producer to manufacture controller ICs for this end market. We expect to see stabilization in the second half of 2022 from ramps of these new high-margin customer designs in this end market. Next I would like to provide a brief update on our ongoing capacity expansions. For 2022, our plan is to increase capacity by high single-digits, primarily driven by the expansion plans underway in Dresden. All of this expansion in capacity is the support of customer demand for differentiated technologies such as 22FDX; image sensor processors on 28- and 40-nanometer technologies; and BCDLite and embedded nonvolatile memory technologies. Also construction of our Phase 1 module expansion in Singapore remains on track with equipment slated to go into that facility in the second half of 2022 to support for first production outs in the first half of 2023. We are working closely and hand-in-hand with our construction and contractors and our equipment suppliers to maintain our capacity expansion schedules. All of our expansion investments are backed with customer long-term capacity reservation agreements and significant prepayments. Further, the majority of this expansion investment is in support of single-source business. In addition to our ongoing capacity expansion, we continue to make solid progress in enhancing our differentiated technologies. For example in 2021, we had 19 new technology qualifications for reduction of our customer products. These include qualifications for image sensor, automotive, RF SOI, ultra-low-power BCD power management projects. We aggressively started development and qualified and ramped our 12 low-power RF technology in 2021. We added six new feature groups to our proprietary FDX platform such as resistive RAM, automotive-grade capable and next-generation RF. And sampled early customer circuits on our GaN power and RF and power amplifier technologies. For 2022, we are tracked to almost double the number of technology qualifications from last year for all our customers, covering silicon photonics, FDX BCD and silicon-germanium HBT technologies. Now, before I hand the discussion over to David, let me add a few thoughts on the overall industry supply-demand dynamics and the capacity being added to address the shortfall of supply to today's demand and growing need. We spent a lot of time in thoughtful analysis of this very important topic. So let me start with our SAM. This is 12-nanometer and above. Now this SAM is growing in the mid- to high single digits in units. That's 300-millimeter equivalent wafers and that growth is over the next five years. It's important to note we're talking about unit growth in this imbalance and not ASPs. Conservatively, we believe the shortfall in industry supply to our SAM today is in the mid- to high single-digit range. This is offset – I'm sorry, this is off a base of industry-wide capacity of approximately 15 million wafers per year. So let's compare today's supply shortfall and the demand growth to the announced capacity additions in our SAM. Based on announced fab expansions both those fabs being tooled or presently under construction supply will grow around 4% over the next five years. If we exclude China-based foundries that number drops from 4% to 2.5% over the next five years. So based on this analysis and our customers' continued interest in investing for long-term future capacity, we believe we are making the right long-term investments that will enable us to almost double our revenue while delivering the necessary return on invested capital for our business. In summary, we ended 2021 on a strong note and business momentum. We are seeing robust growth from our customers in the end markets we serve. We are prudently and in partnership expanding our capacity to service their needs and making great progress in accelerating our differentiated technologies for the future. With that, let me turn the call over to Dave, to provide the financial details for the fourth quarter and also provide you our guidance for the first quarter. Over to you, David.
Dave Reeder: Thank you, Tom. Now, on to our fourth quarter and full year 2021 results. Our fourth quarter results exceeded the high end of the financial range we provided in our last earnings call. Fourth quarter revenue was approximately $1.85 billion, which increased 9% sequentially, driven by higher wafer shipments, ASPs and non-wafer revenue. We shipped approximately 622,300 millimeter equivalent wafers in the quarter, an increase of about 2% on a sequential basis. ASP per wafer increased approximately 3% sequentially, driven by ramping LTAs with better pricing and overall very constructive transactional pricing environment and continued improvement in product mix. Wafer revenue from our end markets accounted for approximately 89% of total revenue. Non-wafer revenue which includes revenue from reticles nonrecurring engineering, expedite fees and other items, accounted for approximately 11% of total revenue for the fourth quarter, consistent with our expectation of approximately 10% of total revenue. For the full year, revenue came in at approximately $6.6 billion, representing a 36% year-over-year increase. As expected, all of our end markets grew meaningfully, except for the year-over-year reduction in personal compute, which declined as planned, as we remix our business to more differentiated solutions. For the remainder of the call, including first quarter guidance, I will reference adjusted metrics, which exclude stock-based compensation. For the fourth quarter, we delivered adjusted gross profit of $397 million, which translates into approximately 21.5% adjusted gross margin. The 346 basis points sequential improvement was primarily driven by better fixed cost absorption, higher ASPs and improved mix. Full year 2021 adjusted gross margins were approximately 16%, a significant improvement from the prior year. Similar to Q3, operating expenses for the fourth quarter represented 13.8% of revenue. R&D represented $121 million or 6.6% of quarterly revenue and SG&A was 7.2% at $133 million. Total operating expenses of $254 million excludes $43 million of stock-based compensation. GF delivered operating profit of approximately $142 million for the quarter, which translates into 8% adjusted operating margin, 291 basis points higher than the high end of our guidance. For the full year, we delivered operating profit of $168 million, also a significant improvement from the prior year. Fourth quarter net interest expense was approximately $26 million and we incurred a tax expense of approximately $26 million in the quarter. We delivered fourth quarter adjusted net income of approximately $98 million on a diluted share count of 540 million resulting in earnings of $0.18 per share. For the full year we ended with an adjusted net loss of $26 million. We delivered record fourth quarter adjusted EBITDA of approximately $584 million. Adjusted EBITDA grew $79 million sequentially on $147 million of incremental revenue growth, representing approximately 54% fall-through. For the full year, we delivered adjusted EBITDA of $1.85 billion, an increase of approximately 90% over the prior year. Let me now provide some key balance sheet and cash flow metrics. Cash flow from operations for the quarter was approximately $1.15 billion and included approximately $800 million of customer prepayments and capacity access fees. Gross CapEx for the quarter was about $650 million or roughly 35% of revenue. We ended fourth quarter and the year with approximately $3 billion in cash and cash equivalents an increase of more than $2 billion from the prior year. Next, let me provide you with our outlook for the first quarter. We expect revenue to be between $1.88 billion and $1.92 billion. We expect adjusted gross profit to be between $409 million and $437 million. We expect adjusted operating profit to be between $164 million and $202 million. Excluding share-based compensation for the first quarter, we expect total OpEx to decrease approximately $15 million sequentially. At the midpoint of our first quarter guidance, we expect share-based compensation to be approximately $60 million of which $25 million is in cost of goods sold and $35 million in OpEx. We expect net interest expense for the quarter to be approximately $29 million and tax and other expenses to be roughly $19 million. We expect adjusted net income to be between $117 million and $153 million. On a fully diluted basis of approximately 560 million shares we expect adjusted earnings per share for the first quarter to be between $0.21 and $0.27. For the first quarter we expect adjusted EBITDA to be between $580 million and $620 million. For 2022, we expect total gross CapEx to be approximately $4.5 billion as we continue to invest in partnership with our customers to deliver the capacity necessary to support our contracts. So 2021 in summary, we executed to plan. We delivered progressively better financials quarter-to-quarter throughout the year. We secured 30 long-term customer agreements with more than $3.2 billion of customer funding and access fees and prepayments and we executed on our CapEx investment roadmap that delivers growth and competitive return on invested capital. We are excited about our prospects in 2022 and we fully expect to continue our methodical execution. With that let's open up the call for Q&A. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of John Pitzer with Credit Suisse. Your line is open.
John Pitzer: Hey guys. Good afternoon. Thanks for let me ask the question. Tom I was wondering if you could talk a little bit about kind of the ASP progression you see for calendar year '22. You're kind of in the envious position of being supply limited. You did a good job on the call kind of talking about the growth in wafer outs through the balance of the year. How are you thinking about ASPs? And how are you navigating kind of getting paid for value not taking advantage of the cyclical environment and still maintaining those long-term customer relations? 
Tom Caulfield: Look John as we talked on the road show in our last call, it was important for us to be very balanced in this. We wanted to make sure we erred in the side of more certainty longer range when we sign these long-term agreements because we're adding capacity. We wanted to make sure our customers were equally committed to that capacity. And so, we balanced that certainty of our business with ASP growth. But David can give you a little bit more details but this is the year -- really those ASPs we needed to give our -- chance for our customers to pass or deal with those ASP increases the way they chose to do it in 2022. And so roughly this is about a high single-digit kind of number of growth of ASPs on -- at the enterprise level for the year this year. Now done in a way that was very methodical in partnership with our customers as we use their balance sheet and our -- and in partnership to go create that capacity for this growth we're talking about. David anything to add to that? 
Dave Reeder: Yes. Hey John. From a volume perspective, what we've talked about is we're going to grow capacity in the high single digits year-over-year from 2021 to '22. And then ASPs as Tom mentioned those ASPs will actually grow about 10% year-over-year versus high single digits. So, volume up about high single digits year-over-year. ASP is up in the 10% range year-over-year. Did you have a follow-up John? 
John Pitzer: That's helpful. Yes, just on my follow-up. There's still some skeptics out there relative to the longer-term financial model you put out on the road show. I was just hoping you could go through some details of kind of the expected margin progression exiting the March quarter for the balance of the year. And Dave maybe you can touch on it by geo because I know there's some distinct differences among Singapore. Malta and Dresden as capacity ramps?
Dave Reeder: Sure. Maybe I'll answer the first part of that. And then Tom if you have anything to add you can chime in to build upon it. John we talked really about three things that were happening to drive our margins. We talked about this disciplined CapEx and partnership investment that would lead to normalization of depreciation, as well as improved fixed cost absorption. We've talked about the constructive pricing environment and our increasing percentage of single-source business, driven by the differentiation in our business as being something that helps capture margin. And then of course we talked about the mixing up of our business through accretive markets that we target. And so with those three points as a backdrop, let me talk about the geographic regions and the individual factories. So let's start with Singapore first. Singapore is our largest campus. It services about 45% of our total capacity. Singapore is already at our long-term financial model. So in 2021, Singapore is at our long-term model and that's without that 10% kind of year-over-year enterprise ASP increase that we talked about in your prior question. Dresden, which is about 20% of our total capacity but of course, growing. Dresden as we scale that fixed cost footprint through additional tooling, we get the benefit of that fixed cost absorption. So that fixed cost absorption as we almost triple the total output of that facility plus the improved pricing that gets us to our long-term financial metrics. And then finally, we've got Malta. In Malta, it has a similar fixed cost absorption challenge big footprint but wasn't tooled. We'll get that fully tooled around the midyear of 2023, so kind of exiting 2023 will be at our entitled fixed cost absorption. And then, it has a little bit of depreciation that has to roll off throughout 2024 and then the first half of 2025. So it won't quite be to that long-term model until late 2024, early 2025. But Singapore will be there. Dresden will be there. Burlington is in a very similar situation as Dresden and then of course, I just described Malta. Tom anything you'd add?
Tom Caulfield: No, I think it's good to put it in that concise manner. There's a depreciation dimension this week we invested heavily in the early years for the company and that depreciation rolls off. So that's one lever. The second lever is remixing and the ASP that will drive our profitability. And then, the third one is we have a huge fixed cost and the more we can leverage that cost for efficiency. Any one of these, I could get some skepticism but the three -- the combination of those three really give us our road map to this path to profitability. And it's always good. David, as you like to say proof point our Singapore facility is already at our long-term model.
John Pitzer: Perfect. Guys, thank you. Appreciate it.
Operator: Thank you. Our next question comes from the line of Harlan Sur with JPMorgan. Your line is open.
Harlan Sur: Good afternoon and congratulations on the strong execution. Demand environment stepping into this year looks quite strong across your end markets. The team is anticipating strong revenue growth this year. I think based on your shipment and your ASP outlook, in your prepared remarks or an answer to one of the questions, it looks like you guys are going to grow revenues in the sort of high-teens percentage range this year. Help us sort of rank order which of your segments are going to be driving the strongest growth this year?
Tom Caulfield: Hey David, I'll let you start and then I'll add some commentary as to why. 
Dave Reeder: Sure. Well, Harlan, it's a smaller part of our business but we've talked a lot about automotive. And so, the automotive business, we're expecting it to be kind of lumpy quarter-to-quarter. But on an annual basis year-over-year 2022 versus 2021, we're continuing to expect strong growth from the automotive business. The IoT business, that's home and industrial IoT business, that's another business for us that grew nicely in 2021 and we actually expect it to grow even faster in 2022 and become a bigger part of our total portfolio. And so that's a business that for us we're seeing just a lot of traction in the home and IoT business -- industrial IoT business. Smart mobile devices, it's not quite half of our business but certainly around that range. And that business will kind of grow at our enterprise average. So I think in terms of the real highlights the automotive portion growing from a smaller base to a more sizable portion of our business, the home and industrial IoT having nice growth, smart mobile devices growing at enterprise average. And communications infrastructure and data center also growing but probably highlight the first two automotive in home and industrial IoT. 
Tom Caulfield: Yes. I'll just add a little bit on the smart mobile device. David you pointed out, it's 48% of our revenue this year. Handsets are not growing at high-single-digits next year, but our revenue is going to be -- have a robust growth. And what does that mean? It means we're winning more sockets within them. As the industry goes to 5G, that's a real franchise for us in the front-end module. We're building our -- and growing our business in image sensor processes. So, more sockets, more content. So handsets don't have to grow at the rate our business goes as we win more of the silicon content inside that smart mobile devices.
Harlan Sur: I appreciate the insights there. And so for my follow-up with the House passing the America COMPETES Act which includes the $52 billion CHIPS Act and a similar version to the one that was passed by the Senate last year. So, the Bill now needs to be reconciled agreed upon by Congress, signed by President Biden. You guys have a strong government relations team. Do you have an updated view on time lines for potential appropriations of subsidy dollars? And then maybe over the next three years how much CapEx are you allocating to your US staff primarily Malta? Just want to get some idea on how much of the US CapEx spend could be supported by CHIPS Act funding. 
Tom Caulfield: So, let's take the first part of that. Our context in Washington we've been very forthright and one thing I love about it is it doesn't matter which side of the aisle you're at, everybody knows that funding the CHIPS Bill creating more security around the semiconductor supply chain in the US is a paramount importance. And you're right, it's going to go to conference now with the rationalization that these two bills will be passed into law. And the timing for that is it's going to be some time if it's going to be meaningful before the first half of this year is over, right? We have to be in that timeframe. And $53 billion, $52 billion, $37 billion of billing to add capacity is meaningful. As far as our plans are, we don't invest just because there's a government incentive or co-investment. We invest first and foremost in partnership with our customers that there's certainty to the demand and we're building our differentiated technologies with a customer in mind so they participate in this. We leverage the government support because we have to get the kinds of returns on investment that makes sense and this is mid to high single-digit returns. And so first we make sure the demand is there. The certainty is there customer partnership and then we make sure that we can achieve the capital model or the return on our capital investment to go make those -- to make the investments and make sure they have the right payback versus a business. Now, having said that, I think we will find a way to expand our campus in Fab 8 in Malta, New York in a meaningful way and we'll do that in partnership. What I found really encouraging today was Commerce Department actually started to ask for a request for information on how this money can be spent. So it looks like we're they're really starting to lean in and get ahead of the appropriations of this funding. So we'll keep a close eye on this as time unfolds here. David anything to add to that? 
Dave Reeder: Yes, I think to speak to 2022 CapEx Harlan, there's about $550 million that's going into investment in Fab 8, primarily for FinFET capacity. And then there's about $150 million give or take a little bit that's going into Burlington to mix us up primarily into SiGe and some of the communications and infrastructure market. So, those are the investments that we currently have contemplated for 2022.
Dave Reeder: And none of them are dependent on this funding from government support, that's right.
Harlan Sur: Yes, great insights. Thank you.
Operator: Thank you. Our next question comes from the line of Ross Seymore with Deutsche Bank. Your line is open.
Ross Seymore: Hi guys. Thanks for letting me ask question. Congrats on the strong results. Tom I want to go back to one of the topics you hit on in the preamble about the supply coming on and how fast the industry needed to grow the supply to meet up to the demand and that disconnect. If I look at kind of the broad-based lagging edge companies, whether they're IDMs or fab-lite companies, their spending is exploding. Texas Instruments talked about it last week. So, as those companies are spending two, three times their 10-year average rate, do you view that as more of an endorsement of the growth of the industry, or are you in any way scared that that supply could lead to pricing declines pressure on your customers? I know you have the long-term agreements, but just wondering how you reconcile these companies that aren't necessarily your customers also spending so aggressively?
Tom Caulfield: Yes, remember they have to grow their business too. In our industry, you don't grow if you don't make more product, right? And so TI has been very disciplined in how they make capital expansions. And they got to a point where they needed to maybe spend a little bit more because they needed new facilities not just expanding existing footprints. I think more to your first part of that which it really is an endorsement for where this industry needs to go. It took 50 years to become a $0.5 trillion industry. Call it eight, 10 years, it's going to double. And the economic model to go create that first 50 years is not the one that's going to get us to where we want to go as an industry. And for us it's to make sure that we are creating differentiated solutions for our customers that our customers are equally committed to that capacity. And that -- we're building it for them. We're not just building it and saying, we're going to build ahead and have -- and then go and try to sell the capacity. We're doing it in a very orderly in an orderly fashion. And I'll tell you we talk a lot about the long-term agreements that we signed last year, right? In fourth quarter, we started to sit down with our customers to think about the future beyond 2024, when we bring all this capacity on. So what's next what additional capacity would they like to add with us. And those conversations are going well and we expect this year to be doing more of the same, to continue to grow the capacity. But fundamentally doing it in a partnership mode, where our customers hand-in-hand are committed to the capacity we're putting on for them. 
Ross Seymore: Thanks for that color. As my follow-up David, one for you on the gross margin side of things. Just wanted to get a little bit more color on, what was the surprise to you versus your guidance in the fourth quarter? And then as we're thinking about the linearity of the year, I know there's some steps when depreciation falls off and those sorts of things. Any sort of color, on how you see this year progressing quarter-by-quarter in the gross margin line? 
Dave Reeder: Sure. Well with respect to fourth quarter, the improvement to our guidance that we delivered, I think there were two things. One, I think the pricing and some of the expedites and some of this pricing associated with that was a little stronger than we expected. And then of course, fixed cost absorption, is a very, very powerful tool as an engine for accretion for a fixed asset business. And so we got better fixed cost absorption and we got a little bit better ASP and premium pricing in the fourth quarter and that really led to the upside. I think for guidance for the full year, I think I'll stick path to what we gave you for the full-year with 10% ASP increases year-over-year. But with respect to the first quarter, it's about two-thirds ASP, one-third volume-driven when you think about the improvement quarter-over-quarter Q1 to Q4. And so what that means is that the ASPs are coming online a little faster than the fixed cost absorption is -- would expand gross margin. So still getting the benefit of both, right? As that volume still scales, you're still getting the benefit of that fixed cost absorption in the footprint but ASP is coming online a little bit faster than the fixed cost absorption. Does that make sense? 
Ross Seymore: Yes. Thank you.
Dave Reeder: Thanks, Ross.
Operator: Thank you. Our next question comes from the line of Chris Danely with Citi. Your line is open.
Chris Danely: Thanks, guys. One more pricing question. So you sketched out the strokes on 2022 but I would imagine you're booking into 2023. Any first take or first reads on the pricing environment for 2023? Can we expect it to be up double digits again next year? 
Dave Reeder: Yes. I think -- look I think we're going to guide one quarter at a time and then try to give you some color and context, for the year that we're in. I think as a high-level response, I think I'd say, that we remain in a very constructive business environment -- and so we're very encouraged by the environment that we're currently in. Tom, anything? 
Tom Caulfield: Yes. And I think for us to be able to create the capacity our customers need, ASP is part of the equation to close those returns we need. So that's the story that we got to continue to write and develop here. 
Chris Danely: Great. And for my follow-up just a competitive question. So both of your main competitors in Taiwan have announced increases in CapEx. They're going to focus a little more on the trailing edge. And then you also have a major semiconductor company here in the US, with their -- I guess it's their latest announcement of getting into foundry. Has this changed the conversation with the customers at all? Is this making you guys a little bit more worried about potential capacity issues down the road, or no change to the business environment when you talk to the customers or internally? 
Tom Caulfield: I think you have to segment three levels of investment, for capital expansion. There's a whole memory dimension to this clearly doesn't -- it complements the logic part of the industry but doesn't compete at all. And then there's the segment for -- some like to call it leading edge, we call it single-digit nanometer. This is the smallest fastest transistors feeds data centers. It represents 25% of the market, but it's highly capital-intensive so you see a lot of dollars being poured into that. There are now three competitors in that space as Intel has declared they want to be foundry and serve that market. For us, an Intel entering this market just validates once again, how important semiconductor manufacturing is and how important it is to not only the industry but to the world economy. But we don't see them as a competitor as they're in that market segment that we choose not to serve. The other capacity, that's being put on, I spoke about in this -- in the service market we serve, we track that very closely. We watch where shovels are going to ground, where capacity is being added. We gave you the statistics around that. We don't see a lot of capacity going in beyond with the natural demand growth that's going on. I think you're seeing rational capacity expansion making sure that we don't overbuild for this industry. And that's something we'll watch very closely. And again, we will not add capacity, if we don't know we have somebody who's going to be committed to that capacity that we put on. David, anything to add to that? 
Dave Reeder: Yes. I think I'd just add that again as a proof point our – we signed five new LTAs in the fourth quarter. And we continue to have customers engage with us on wanting to secure long-term supply. So from all the signals that we see, it looks like we are currently in a supply-demand imbalance. It looks like things are getting a little bit better. But I think based on what we see, we believe it's going to last for an extended period of time and it looks like our customers believe that as well. And so what we're going to do is we're going to in a very disciplined methodical way we are going to continue to execute our plan. And as we execute our plan we're going to look at the headlights that we have and course correct accordingly if we see anything different than that.
Chris Danely: Great. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Mark Lipacis with Jefferies. I'm sorry. Your line is open.
Mark Lipacis: That's okay. A lot of people mispronounce my name. It's Mark Lipacis from Jefferies. Thank you for taking my question. When you listen to the earnings calls the semi-cap equipment companies, you hear many of them discuss missing expectations because they're not getting enough components. Given your capacity constraints and it seems the biggest risk to your ability to hit your growth potential and meet your customer commitments is your ability to get that capital equipment. What are your conversations like? I know Tom you talked about this in your script a little bit, but maybe you can peel one layer of that onion. What are the conversations with the semi-cap suppliers going like right now? I imagine you're listening to the same calls that we are too.
Tom Caulfield: Yes we listen to... 
Mark Lipacis: And I have a follow-up. Thanks.
Tom Caulfield: We listen to the same calls and we're on calls with them. Look, I think fundamentally, we started to plan our capacity expansion at the end of 2020 and early 2021, where their lead times and booking of the slots was a lot less competitive. And so the – it's kind of a little bit first in first out. And so we're not seeing huge swings in our delivery of equipment. They're all manageable within the buffers we put in our schedules. They're plus or minus weeks of delivery, we balanced to add our capacity. I think for us timing was our friend on this one and we got our orders in early. I get that no one's immune from daily battles with worldwide supply chains, whether it's chemicals to make wafers or components to make tools, we're all dealing with that as best we can. But for us on the equipment side we have a pretty good line of sight of the equipment we need to add to create this capacity. And we got our orders in early. Plant receives early I guess.
Mark Lipacis: Got you. That's helpful. And then a follow-up if I may. Given that there is such a shortage of semiconductor manufacturing capacity worldwide and many industries outside of semis are losing billions of dollars in revenues because they can't get enough semiconductor components. It seems that prioritizing the semi-cap equipment players for chips would – might be a way to alleviate the world's focus on the semiconductor industry right now? And I guess I'm wondering is there like an industry association do you guys get together and say "Hey one way that we can solve this problem together is to prioritize that vertical market semi-cap players and help them get equipment to us and we can make more chips?" Is that something that goes on? Do you – or is this a they kind of get put into the queue like everybody else does?
Tom Caulfield: Well, look if it's going on we're not part of those conversations. This is a very complex business. You could be adding one tool to an existing factory that all of a sudden gives you 3% more routes because it was a pinch point tool, you could be doing a greenfield. And very complicated mix and match of configurations and tools and type of tools. I don't even know if that's possible what you're talking about. I think the point here is for everybody to plan their business, understand the markets they want to serve, create the capacity to serve those markets and then work in partnership mode not only with your customers but your suppliers to go execute that those plans. I think that's a tried-and-true business objective and methodology and that's what we try to do.
Mark Lipacis: Got you. Very helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Chris Caso with Raymond James. Your line is open.
Chris Caso: Yes. Thank you. Good evening. Tom, I'd like to come back to some of your opening remarks on your view of the supply-demand balance for the industry. You spoke about that as a high single-digit shortfall. When do you think the industry gets back into balance? It sounds like you think we make some progress from here. But I'm wondering as you look at your analysis, at what point do you think that the industry catches up and we get back to what was thought to be normal supply conditions?
Tom Caulfield: Yeah. I think the problem we have is we have this big offset to begin with and we have something that's growing. And we think of it we either have a mismatch or a match. I think there's a range. We started mid last year with a really big mismatch, it's gotten better. But again, I think it really comes down to how fast can we add capacity. We just talked about equipment suppliers and lead times going out. How fast can we add capacity while demand continues to grow back to an industry that will double in eight to 10 years? And so for me, the way I think about this short of some kind of big macroeconomic event that will slow down all economies including our industry. I think for the better part of the next five years, we'll be chasing to put capacity on not demand and doing everything we can to get a better balance. It doesn't mean, it doesn't get better. But it doesn't mean, it gets fixed and we're in a position where we have more supply than we know what to do.
Chris Caso: Got it. Thank you. As a follow-up David you -- there was very good leverage on fall-through from the incremental revenue. I think you spoke about 54% of the incremental revenue fell-through. Is that a reasonable expectation going forward? And I'd suspect some of the ASP gains which might not be even every quarter might have some influence on that?
Dave Reeder: That's correct. Look I think I mentioned 54% for the EBITDA fall-through. I think if you did the math on the gross margin, you'd get something that's more slightly higher than 60%. I think from a fall-through perspective, somewhere in that mid-50s to low-60s range is a good fall-through estimate.
Chris Caso: Got it. Thank you.
Dave Reeder: Again, taking advantage of the ASPs and the fixed cost absorption that we talked about earlier.
Chris Caso: Great. Thank you.
Dave Reeder: Thanks, Chris.
Operator: Thank you. Our next question comes from the line of Joe Moore with Morgan Stanley. Your line is open.
Joe Moore: Great. Thank you. I wonder if you could talk about the $4.5 billion of CapEx and what would that -- how much would that increase your wafer fab capacity when fully deployed? I understand, it doesn't get fully deployed this year, but can you just give us a ballpark estimate of that number and what it means for your overall wafer growth? And then can you talk a little bit about CapEx in 2023 directionally?
Dave Reeder: Sure, Joe. Look what we talked about kind of in the road show as well as a little bit on the prior call, what we talked about taking our wafer capacity from 2020 from about 2 million wafers to north of 3 million wafers as we're exiting 2023 from a run rate perspective. And again, that's what that fully ramped Singapore facility that's currently under construction today. And so if you look at the 2021 numbers, we delivered roughly 2.4 million wafers in 2021 rounding up slightly there. And so we're not quite halfway there right to get to more than 3 million wafers per year and so the $4.5 billion investment this year again that's our investments in coordination with our customers as well as some partnerships with governments. That helps take us a good portion of the way to that 3 million wafers. So directionally, 2023 will decline from what we're spending in 2022. I'm not going to give a lot more color than that other than it's not significant changes from maybe what was talked about in the road show. And then ultimately, we talked about 2024 being at our long-term model or approaching our long-term model of 20% capital intensity.
Joe Moore: Great. And then if I could follow up on the sort of government policy angle. You talked about maybe benefit to your spending in Malta. Is there any thought of you guys spending money in Germany or Singapore, obviously does a lot to give the US supply chain conviction on their ability to procure, if there's any tensions in Asia things like that? Any chance you can -- you could get subsidies for spending outside of the US?
Tom Caulfield: Well, first I think our global footprint is one of our competitive strengths. Because of supply chain risk and mitigation, you spread your risk around the world and you don't have it so highly concentrated. The Singapore facility that we're building right now it's a Phase one expansion of a 3-phase has significant support from the ECB, Singapore. We've taken partnership money from the -- in co-investment with the IPCAI program in our Dresden facility over the years. In fact today the European Union came out with a bill they want to start debating that's about $43 billion to go -- that's comparable to the CHIPS bill in the US. So we're always going to look for opportunities to increase the scale of our global footprint and do it again back with the right economics that make sense. I think one thing I could promise you is, you're not going to see us go greenfield. We're not going to go in the middle of some location that doesn't have an ecosystem or scale. We'll always add on to existing facilities because you have faster time to market you have better capital efficiency and better leverage. And so we'll always look for opportunities to leverage our competitive advantage by having a global footprint and look to add capacity when it makes sense in all three continents we operate on. Would you add anything to that Dave? 
Dave Reeder: No I think that's well said. 
Joe Moore: Thank you.
Operator: Thank you. Our next question comes from the line of Raji Gill with Needham & Company. Your line is open.
Raji Gill: Thank you for taking my question. Congrats on the good momentum following the IPO. I just wanted to have -- get a better understanding of your revenue mix by region and how that may change over time through 2024. I know you briefly spoke about it. But is your European presence core to your strategy, or will you invest more heavily in the US Asia in the long term? 
Dave Reeder: Yes. So in terms of our revenue mix about 2/3 of our revenue is from the US. About 15% or so plus or minus a little bit is from Europe. And then China is high single digits around that 10% range. And then the rest of the world makes up the rest of that revenue. We're incredibly pleased with our geographic footprint from a manufacturing perspective. We think that it's a real strength of ours. We think it appeals to customers in all of the regions that I just mentioned. And as we spend this CapEx in partnership with our customers as well as local governments it's really enabling that fixed cost absorption and the gross margin expansion that we've spoken about on this call. Tom anything you'd add? 
Tom Caulfield: Yes. Just think about what this global footprint does when you think of supply chain security, there are a number of part numbers for our customers. One design that's sourced continents away. We can build it in our Fab 7 facility in Singapore our Fab 1 facility. It's still qualified. It's built in supply chain geographical risk mitigation without any real cost just qualifying two sites instead of one site the same design same process flow. And our customers see this in a world where there's a lot of concentration a lot more geopolitical tensions that having that flexibility is starting to create real value for our customers. 
Raji Gill: And for my follow-up of your $20 billion plus in commitments how much of that is based on tech that is ramped versus developing? And what would be -- the impact be if the process is yield later than expected? Thank you.
Tom Caulfield: Well the vast, vast majority of that is already in production and it's adding more capacity to continue to build on things we've already been building. So this is not an R&D exercise. This is a manufacturing execution exercise. 
Operator: Our next question comes from the line of Matt Bryson with Wedbush. Your line is open.
Matt Bryson: Thanks for taking my question and congrats on a great quarter. When I hear people talk about strength and semis they often focus on HPC or automotive and the electrification of autos. You don't hear very often people talking about home and industrial IoT being the fastest-growing segment for them. I guess when you're looking at that strength moving forward. Do you see that as more market-driven, or I'm guessing at least a portion of the strength is specific to GlobalFoundries with some of your technologies like FDX fitting well with the requirements of that space and allowing you to take some share. And if that assumption is correct, am I right in thinking that the faster growth in that space ends up with that being a higher margin or being higher margin growth for you guys? Thanks.
Tom Caulfield: Well, let's talk first the IoT market. As we sat there in 2021, we had shipped 10 billion IoT devices as an industry. And we did that in 10 years. It took 40 years for PCs to ship 10 billion units, and it took 40 years for handsets to actually ship that kind of volume. And that IoT growth is going to give you 30 billion units over the next three to five years depending on your outlook. So IoT, everything connected the pervasive deployment of semiconductors but everything needs to be connected. I was sitting in the dentist office today, they're giving away a blender. And the biggest feature on the blender is that, it's wireless connected. Whoever thought they needed their blender connected to the Internet? So, I think this is a growth market. IoT and connectivity of everything is a growing market. And you made the exact point. We have differentiated ourselves for things that are connected and especially when they're not tethered. The number one, number two, and number three priority is power management. You need battery life. We make applications with non-tethered cameras that need to do image recognition and image processing at the edge for two years on two AA batteries. And there's very few technologies that can deliver that and yet they need to be connected and on all the time. And so IoT -- net-net IoT is a growing market. It's one of the fastest-growing markets, and it's already been one of the fastest-growing markets and we have key differentiated technology in that space. David, what would you add to that?
Dave Reeder: Yes. I look at this space and I look at how diverse it is, right? I mean if you were to talk about the major kind of subsegments underneath home and industrial IoT, you've got control and compute and wireless connectivity and human machine interface and of course power management, right? And those are all areas as Tom mentioned as he described in that two-year life with AA batteries. This is an area where we have some real differentiation in our technology. And so we have a purpose-built platform that enables us to compete very effectively in the home and industrial IoT space and we're very happy with our position. And to the kind of second part of your question, if you will, it is an accretive business for us. And so it was a battleground that we targeted during our strategic pivot a couple of years ago, and we're very pleased with our progress in this segment. Did you have a follow-up Matt?
Matt Bryson: No. No follow-up. Thank you.
Dave Reeder: Thank you.
Operator: Thank you. Our next question comes from the line of Krish Sankar with Cowen and Company. Your line is open.
Krish Sankar: Yes. Hi. Thanks fort taking my question. I have two of them. Tom, the first one is I understand there's been a situation today where the demand exceeds supply and it is going to be like that for a while. So the big picture question is, your capital intensity is high and your ASP price increases are also very strong. So simplistically put, would CapEx declining for GlobalFoundries imply that pricing growth or revenue is slowing? And then I have a follow-up.
Tom Caulfield: Okay. I'll start and I'll hand it over to David. As we're adding capacity we're obviously adding top line. And so, if you get to a percentage of -- a fixed percentage of your revenue that you deploy to CapEx and your revenue is growing that means you could deploy more and more CapEx. Our sustainable model is set that we can grow -- we can maintain our growth of -- through our capital investments with 20% of revenue. And so, the key is for us over the next years, as David talked about, exiting 2023 to get that 1.5, 1.6x growth in our output to grow that revenue so we could get to our sustainable model where we can not only fund our growth through capital investment but produce competitive free cash flows for our shareholders.
Dave Reeder: Yes, let me add on to that. Look, CapEx in 2021 was approximately $1.8 billion. I mentioned in the prepared commentary that we're going to spend about $4.5 billion in 2022. And then, of course, we put the market -- the marker out there that says our long-term model is to spend about 20% of revenue in CapEx to continue to sustainably grow our business and that's kind of 2024 and beyond. And so capital intensity is high. It was like I mentioned $1.8 billion last year $4.5 billion this year in 2022. But those investments are made in partnership with our customers, more than $3.2 billion of customer funding and access fees as well as prepayments as well as partnership with local governments. And so we've taken a very disciplined methodical approach towards making these investments with profitability with certainty of demand and with durability of end markets. And so we feel very, very good about these investments. And we don't look at investments just in a one-year time horizon. These assets will last upwards of 20 years. And so we look at our investments very carefully very cautiously and we have a very disciplined approach to CapEx.
Krish Sankar: Got it. Super helpful. Thanks for that Toma and Dave. And then as a quick follow-up someone asked a question on equipment access, I just wanted to ask a similar question in a different way. You're going to spend $4.5 billion this year, TSMC's spending $4.2 billion on mature nodes, and UMC is stepping up CapEx, so do you actually think semi equipment could be a bottleneck, or how do you feel that you have enough access to equipment to meet the demand that you're seeing today? Thank you.
Tom Caulfield: Yes, we spoke a little bit about this before. We started to order for our growth at the tail end of 2020 and a lot of our orders were placed in the first half of 2021 before the capacity of our equipment manufacturers started to really get spoken for. And so I think it was getting back to -- not maybe the good fortune but the early planning of us getting our equipment orders in place so that we can build this capacity. I think the equipment industry needs to add capacity just like we do if they're going to feed this growth. And I'm sure they have plans to go do some of that. It's no different for them. They need to add clean rooms that build tools in a highly controlled environment. And so that capacity doesn't come on overnight. And they'll need to plot their course for how they can enhance their ability to ship more tools on a quarterly basis.
Sukhi Nagesh: Hey, Towanda we'll take one last question please.
Operator: Thank you. Our final question comes from the line of Vivek Arya with Bank of America. Your line is open.
Vivek Arya: Thanks. I actually two quick questions. First, Tom I just wanted to revisit this question about levers of content or pricing growth beyond this year. Conceptually, what can help you drive higher price per wafer in the next few years? Is it proprietary technology? Is it supply guarantee location of supply or mix? Just conceptually what can help you drive pricing higher in the future? Because it -- there is a perception that the pricing strength that the industry is seeing is more a factor of the supply shortages and once those shortages go away that pricing may not be a lever so that's why I wanted to get your perspective.
Tom Caulfield: Yes, I think for us it's kind of back to our go-to-market strategy. We chose to be very end-market-focused not just automotive, but all the way down to a particular device and make sure that we in our front end of our business really understood what were the features, not feature, features that really made the best winning product the real differentiated product. And we don't say well you're differentiated on a node or not, it's how many features you add to create that full capability for an application. And for us, it's always going to focus on -- very strategically on what we call battlegrounds that require real differentiation, make sure we have customer insight into the kind of differentiation they want make those investments and create single-source differentiated business. And then that capacity becomes very sticky. It becomes very hand-in-hand with the applications we've won the business on. And so for us to continue to focus on differentiation, we play in a very large TAM, so we don't have to be all things to all markets. And we're going to be very disciplined in making sure we participate in markets where differentiation matters. It's key to our customers and make sure we create in our innovation engine that type of differentiation for our customers.
Vivek Arya: Thanks Tom. And maybe one follow-up for Dave. If there are any US government incentives Dave, I'm curious how will they be reflected in your financials? So, for example, we have seen one large US IDM already assume in net CapEx and a net depreciation number based on some government incentives. So, I'm curious whenever those incentives come how will they affect your financials?
Dave Reeder: Sure. Well, I haven't really seen the mechanism yet, Vivek, with respect to how any of those incentives would flow into the company. So, it's a little unclear to me at this point from a geographical perspective on the P&L whether it would be a gross and then net off CapEx or whether it would come in through a different line. So, I don't want to speculate at this point. I've seen in other regions of the world in GF and other companies for that matter those benefits come in through different lines. And so I don't want to speculate on that at this point. What I can tell you is that, with our geographical footprint and our diversification and with our ability to be differentiated in the marketplace and partner deeply with our customers, I'm just very encouraged by the environment that I see and I'm very encouraged by our customers' willingness to partner with us to bring online this capacity. And then to the extent that governments also want to participate in that partnership, the more the better. So stay tuned on how that would flow geographically into the P&L.
Operator: Thank you. I would now like to turn the call back over to Sukhi for closing remarks.
Sukhi Nagesh: All right. Thank you, Towanda. Thank you everyone for your interest in GF and for joining us on this call. Please feel reach out with any questions and we look forward to speaking with you in the quarter. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.